Operator: Good day. Welcome to the Autodesk fourth-quarter fiscal-year 2014 earnings conference call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. (Operator Instructions) Mr. Dave Gennarelli, Director, Investor Relations, you may begin your conference.
David Gennarelli: Thank you, operator, and good afternoon. Thank you for joining our conference call to discuss the results of our fourth quarter. Joining me today are Carl Bass, our Chief Executive Officer, and Mark Hawkins, our Chief Financial Officer. Today's conference call is being broadcast live via webcast. In addition, a replay of the call will be available at Autodesk.com/investor. As noted in our press release, we have published our prepared remarks on our website in advance of this call. Those remarks are intended to serve in place of extended formal comments, and we will not repeat them on this call. During the course of this conference call, we will make forward-looking statements regarding future events and the anticipated future performance of the Company, such as our guidance for the first quarter and full-year fiscal 2015, long-term financial model guidance, including subscriptions, value per subscription, billings, and recurring revenue growth. The factors we use to estimate our guidance are business model transition, new product and suite releases, market adoption and expected growth rates, cost management efforts, our market opportunities and strategies, business execution, trends and sales initiatives for our products, and trends in various geographies and industries. We caution you that such statements reflect our best judgment based on factors currently known to us and that actual events or results could differ materially. Please refer to the documents we file from time to time with the SEC, specifically our Form 10-K for the FY ‘13; Form 10-Q for the periods ended April 30, July 31, and October 31, 2013; and our current reports on Form 8-K, including the 8-K filed with today's press release and prepared remarks. Those documents contain and identify important risks and other factors that may cause our actual results to differ from those contained in our forward-looking statements. Forward-looking statements made during the call today are being made as of today. If this call is replayed or reviewed after today, the information presented on the call may not contain current or accurate information. Autodesk disclaims any obligation to update or revise any forward-looking statements. We will provide guidance on today's call, but will not provide any further guidance or updates on our performance during the quarter unless we do so during a public forum. During the call, we will also discuss non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with generally accepted accounting principles. A reconciliation of our GAAP and non-GAAP results is provided in today's press release, prepared remarks, and on the investor relations section of our website. We will quote a number of numeric growth changes as we discuss our financial performance, and unless otherwise noted, each such reference represents a year-on-year comparison. And now, I'd like to turn the call over to Carl.
Carl Bass: Thanks, Dave, and good afternoon, everyone. We finished the year strongly and have good momentum going into fiscal 2015. This was the first quarter of our new business model transition. Considering the substantial sequential backlog we built, along with the strong cash flow in deferred revenue, we are very pleased with the overall results. I'll get into our business model transition in a minute, but first I'll call out some highlights from Q4. Our fourth-quarter results were driven by continued strength in both our AEC segment and suites offerings. Our AEC business really had a spectacular quarter to close out a record year. We booked a significant number of $1 million-plus transactions, including the largest transaction in Autodesk history, worth more than $20 million. We made significant progress in driving BIM adoption in the AEC industry. BIM is increasingly mandated on projects, and we're partnering with our customers to ensure they have the right tools to deliver high quality projects. Collaboration and mobility are rising in importance for our customers, and that's what our cloud-based BIM 360 product is all about. Last quarter, I mentioned we booked our first $1-million transaction for BIM 360. In Q4, we booked more than 20 BIM-360 transactions worth over $100,000, including two new transactions worth over $1 million each. In just a few quarters, BIM 360 has become one of our fastest growing products ever. Another area of strength in our fourth-quarter results is the continued adoption of our suites, which grew 15% and now represent 37% of total revenue. Growth in the adoption of our suites remains one of the pillars of our growth strategy and supports our long-term goal of generating 20% more value from our subscription customers. Our strength in suites was partially offset by a decline in AutoCAD, which was anticipated as we look to migrate our point product users to one of our suites. We did see a nice rebound to solid growth in AutoCAD LT, which had particular strength in Asia-Pacific. I'm very happy with our execution in the manufacturing business. We continue to see significant wins in industrial machinery, consumer products, and automotive. I'm thrilled with the rollout of Fusion 360, the first cloud-based CAD tool for mechanical and industrial designers. One other highlight is the momentum in our PLM 360 business. We had our best quarter ever, which included our largest PLM 360 transaction to date, worth almost $700,000. We are seeing good traction across geographies and industries. One particularly interesting data point is that almost 25% of this quarter's PLM 360 customers are new to Autodesk. To date, nearly 1,000 companies have deployed PLM 360. Just after Q4, we closed our acquisition of Delcam, the industry's leading CAM technology. With this acquisition, we are taking the next step in helping our customers manufacture their products. Autodesk and Delcam have many things in common, from a loyal group of talented employees, to a shared desire to radically improve the process of manufacturing. It's really exciting to bring together a combination that will change the way products are designed and made. So now let me talk about our business model transition. The start of our business model transition is a milestone event that will take Autodesk to a more recurring subscription-oriented business over the next four years. In many respects, we started the transition 10 years ago with the introduction of maintenance subscription, which has grown to become about 45% of our revenue mix. We're now taking the next step in transitioning even more of our upfront license revenue to recurring over the next four years and beyond, as we build upon the maintenance subscription base with cloud service subscription and desktop subscription, formerly referred to as rentals. Q4 was the first full quarter of availability for desktop subscription. While it's obviously very early, we're pleased with what we're seeing so far. A meaningful portion of desktop subscribers are new to Autodesk, and the majority is choosing the annual term-length option. We experienced good uptake of our M&E products, which makes a lot of sense, as those customers tend to be much more project-based. Another element of the business model transition is offering our enterprise customers more flexible licensing options. In addition to being a great benefit for our customers, these contracts create a larger recurring revenue stream, which is recognized ratably. Our enterprise customers have expressed great interest in this type of contract. While we saw good traction on the new offerings and customers responded enthusiastically, we introduced these offerings a little late in the quarter for some customers to make the change. As a result, we overestimated how much revenue would be deferred. We thought it might be as much as $50 million, but came in at approximately $30 million. We received very positive feedback from our customers around this new pricing option. Some of our largest customers, including AECOM, URS, Floor [ph] and GHD, moved to the new option. With AECOM, we entered into a global, multi-year, enterprise-wide agreement, which provides all of their users with complete access to Autodesk desktop and cloud services in a flexible model to support their business strategy. It is deals like this that make me confident that these flexible licensing offerings will be a meaningful portion of our large enterprise deals going forward. At this time, we don't have anything new to report regarding changing the ratability of some of our perpetual license revenue. We'll keep you posted as our plan evolves in that area. Now I'll take a minute to review our FY ‘15 guidance. For the first time, we're providing billings guidance. During the transition, this will be another way to measure the overall health of our business. Our initial view is for net billings to grow 5% to 8% in FY ‘15. Our initial view for revenue growth is 3% to 5%. Within the revenue estimate, we have factored in our assumption for moving additional enterprise customers to ratably recognize flexible contracts. It also contains our assumption for increased adoption of our desktop and cloud subscription offerings. The revenue contribution from Delcam will be muted, especially in Q1, in part due to the typical write down of deferred revenue the first year. Our operating margin assumption for the year includes the impact from the business model transition, investment in our cloud infrastructure, and a dilutive effect of the Delcam transaction. We continue to balance our cost-savings initiatives with the investments we are making to solidify our leadership in the cloud and our business model transition. In FY ‘15, we're expecting to add approximately 150,000 to 200,000 net new subscriptions. Since FY09, our subscription base has grown 26% to approximately 1.9 million. As we go forward, we plan to report out on the number of net new subscriptions added on a quarterly basis. Keep in mind that this transition will not be perfectly linear, and the amount of business that we transition and number of new subscriptions we add will fluctuate from quarter to quarter and year to year. We're expecting the transition to progress gradually in FY ‘15, and then ramp more significantly by the time we get to FY ‘17 and FY ‘18. To help you track our progress, we will continue to provide you with our typical guidance and disclosures. For now, we've added the subscription guidance. As the model evolves, we will include other metrics as appropriate. We remain confident in our four-year model that we highlighted at our Investor Day last October, which calls for a 12% billing CAGR, 20% more annual value from our new and existing subscriptions, and a 50% increase in subscriptions. We believe we can accomplish this while getting to a 30% non-GAAP operating margin by the end of FY ‘18. Clearly there are a lot of moving parts as we head into FY ‘15. We feel good about the current macro environment and feel great about the direction of the Company. Never before have we had such a rich and deep product portfolio, and we've clearly established ourselves as the cloud leader in design, engineering, and simulation. This is important because many of the problems our customers face benefit directly from the cloud as a platform. The early successes of BIM 360, PLM 360, and Fusion 360 demonstrate this. We're really excited about our new cloud-based services, which complement our existing offerings. The industry is beginning a major technology shift, and we are ideally positioned to capitalize on it. The new business model and technology platform are a win for our customers and us. Lastly, I want to thank our employees and partners for their outstanding efforts and contributions over the past year. They've done a fabulous job. Operator, now I'd like to open the call up for questions. 
Operator: (Operator Instructions) Our first question comes from the line of Brent Thill with UBS.
Brent Thill – UBS: Carl, the billings and revenue guidance are better than what the Street expected, but it does imply a slower ramp to the transition to ratable per some of the expectations. Curious if you could fill in why that is and why not aggressively step on the gas a little harder here in this transition?
Carl Bass: So – yes, I mean if you're talking about the other ratable revenue, I mean – I think on the subscriptions and the cloud services we're doing, we're doing well. You know we'll move our customers as appropriate. On more of the accounting issue about ratable revenue, just stay tuned. You'll hear more as, you know, we get into the year.
Brent Thill: Okay. And I think we've asked this in the past, but when you look at the operating margin in the last downturn, I think you were not managing the business for the operating margin. And I think now, at least, you have better visibility in the operating margin. But when you look at the 14% to 16%, is that – do you consider that more of a floor that you don't want to go below that? Or how should we think about that as it relates to some of the other companies are giving guidance on operating margin? 
Carl Bass: Yes, I think as we've outlined and we demonstrated in October, the way the curve works and the way the math works, it is the floor. So barring any unforeseen events, the way this works, the arithmetic of moving more business to ratable and having more of these subscriptions is the biggest impact. The second part of it is also, we are investing right now ahead of the curve into our cloud infrastructure. We need to be there as our customers get there, and so we're seeing the expenses now, but not nearly all of the benefit. But if you go back and you just look at how we describe the transition and how we would move through operating margin, the first year was by far the most difficult.
Brent Thill – UBS: Thank you.
Operator: Our next question comes from the line of Steve Ashley with Robert W Baird.
Steve Ashley – Robert W. Baird & Company, Inc.: Hi, thanks very much. I think what we'd all really like to hear is a little more granularity in terms of the FY ‘15 revenue guidance. You have Delcam contributing some amount. If you could help us there at all with in terms of quantifying that. And then you have the shift to flexible licensing reducing the amount of full year. If we could get some, maybe a parameter, some range around that, that would really be helpful. Thank you.
Mark Hawkins: Let me take a shot at that. Carl, you can jump in. Fill, Steve, on Delcam one of the things I want to call out to folks is the fact it won't shock any of you there's a deferred revenue write down which is significant. But that's only part of the story. The other part of the story is that there's actually – when you consolidate there's a stub period or a lag period for consolidation. Just to put it in simple language here we're going to get like a month of the first quarter in terms of the even consideration for the revenues so it's not only the write down, it's the stub period, so the way to think about Delcam, think about it roughly in this year, this fiscal year is about 2% of our total revenue. I'll give you a sense of proportion about how dramatically the write off, the write down of the preferred revenue and the stub period impacts us. That should help you right away on that one Steve, from a dimensionalization standpoint. I think the second thing you're calling out is trying to understand the flexible licensing impact as in this transformation there's three different impacts that are happening. One is the flexible licenses at an enterprise level. One is the SaaS growth and the new offerings and one is the desktop subscriptions and that inner dynamic. What we try to do is help people by anchoring it with the billing and aggregate. So, if you look at the revenue, Steve and look at the billings you can quickly discern the deferred revenue and kind of the impact that's going to to the balance sheet and I can see a lot of you guys are doing that in the Street in your models and we tried to provide that explicitly to give you a sense. So I hope those few things help you, Delcam and how to triangulate on what's going to the balance sheet.
Steve Ashley – Robert W. Baird & Company, Inc.: Perfect. And just a quick follow up, you mentioned you did largest deal ever $20 million deal. About how much of that was billed and recognized in deferred revenue in the recent period?
Mark Hawkins: It would only be a – that's a booking for the $20 million keep in mind so only a fraction of that would have been built at at onset here, so it's a multi-year deal. I would say just take a fraction of it.
Carl Bass: A tiny fraction.
Mark Hawkins: Yes, a tiny fraction from that standpoint. I think it's a five-year deal, Carl, I think, on that one, right? Don't quote me on that. I think it’s… 
Steve Ashley – Robert W. Baird & Company, Inc.: Okay.
Mark Hawkins: Thank you.
Operator: Our next question comes from the line of Heather Bellini with Goldman Sachs.
Heather Bellini – Goldman Sachs: Great. Thank you. I was wondering if you could share with us a little bit, Carl, about how you're feeling about overall demand trends. we're all very excited about the model transition but how do you feel the momentum is building in the different regions and do you see the environment getting better or is it the same or is can you share with us some color there?
Carl Bass : Yes, sure, Heather. I mean I would say generally speaking, I mean if you factor out all the other things going on in our business and normalized conditions, I think the demand environment's growing stronger and doing so on a fairly consistent basis worldwide. You know the only part of the world that I've seen not really recover is Southern Europe. I mean you know if you go back to pre-2009 levels, it's the only part of the world that hasn't come back to that level. Particularly you know what I'm seeing right now is demand in the US is strong. Demand in Japan is strong, and even though there's more moving part when it comes to emerging economies, the preponderance of evidence right now is on real strength that you bring to your economy, so I'm feeling really good about the demand environment. When you break it down a little bit more by industry you know AEC in particular we're seeing a real pickup and a real effort around tools and people buying new tools and that's why I think we saw not only in our BIM 360 business, which you know I try to highlight into my remarks but people don't recognize that , this is – BIM 360 is close to our fastest growing product ever. You know that's pretty dramatic and for people to be in the first year or so of a product's release spending millions of dollars on a product is kind of incredible, and I think that speaks to the demand as well and people wanting to enter what they see to be an improving macro environment with a new set of tools and processes. So, generally speaking, I see good stuff out there right now.
Heather Bellini – Goldman Sachs: And then can I just ask a follow up that you mentioned BIM 360 and I wanted to ask you what do you think – what's the key differentiator of, you know, when you're going in and selling to a customer of BIM 360, and even PLM360 if you could share with us why you might be winning those deals.
Carl Bass: Yes I think both of them reflect this idea of using cloud computing and mobile devices to get information to the right place and the right time. So if you look specifically at BIM 360 there really is a lot is going to construction customers who need to get information in the field. You know one of the big inefficiencies we've talked about the entire industry has talked about for years is the fact that you have entire crews working without the most up-to-date information. That lack of information that leads to bad decisions and bad coordination, and so that's what we're seeing there. It's kind of similar – you know the words change, looks slightly different in PLM 360 but it's really the same thing. You know instead of thinking of people out in the field, just think of an extended supply chain that might stretch across the world, and people are trying to get that same level of coordination and information fidelity regardless of where they are. And I think for many people, you know, both with BIM 360 and PLM360, the part of the market we're tapping into is the one that's ready for adoption of cloud products. So I think that's the other interesting thing that's going on here. In the AEC market, that generally speaking is almost the entire market because they've recognized and organized economically as a federation of companies, and so they're used to sharing information across organizational boundaries, and the cloud is being accepted widely in AEC. In manufacturing, I would equate our adoption more closely to other companies so look at sales force, net sweep, workday in terms of the kinds of companies who come on as the early adopters, and I think we're seeing that same kind of dynamic.
Heather Bellini – Goldman Sachs: Thank you.
Carl Bass: You're welcome.
Operator: Our next question comes from the line of Walter Pritchard with Citigroup.
Ken Wong – Citigroup: Hello, guys, this is Ken Wong for Walter. Quickly to clarify, Carl, I think you mentioned you guys closed out the year with 1.9 million subs. One, is that accurate? And then two, if that's the case, isn't that similar to what you guys closed out FY ‘13 with? I wanted to understand the dynamics behind what kept subscription from growing more this year.
Mark Hawkins: Sure, Ken, this is Mark. Let me just say that we did at a rounded level, it's at 1.9 million. You got it exactly right in terms of paid subscriptions. The fact is that there's year-on-year growth. Obviously since October, is well, when you look at the round two sides of it basically, it turns out to be 1.9 million on a rounded basis, but you can expect year-on-year growth there would be the first thing, I would say.
Ken Wong – Citigroup: Okay. And I guess kind of a follow on to that, I know you guys guided 150,000 to 200,000 kind of net adds, and if we were to look from fiscal '12 to '13, you guys did grow roughly 250,000. I would have expected with this big push behind the business model transition that that number would have been higher. I mean should we look at the guide as a conservative number, and you guys expect that to pick up? Or is this more of a, as we look to out years, it should accelerate beyond the 250,000 that we saw from '12 to '13.
Mark Hawkins: Let me add two points, and just to throw out there. One is that we think it's a prudent guide, number one. Number two is that if you look the linear step up to get to the 50% increase that we talked about in the 12%, 20%, 50%, that would be 225,000 and we talked about it being back-end loaded. So we think this fits right in the spot where you would expect with some momentum that builds over time.
Carl Bass: You know – and Ken, what we'll report as we go, I mean and so you and us will get a little bit better indication as we move through the year.
Mark Hawkins: Exactly.
Ken Wong – Citigroup: Got you. All right. Great. Thanks a lot guys.
Mark Hawkins: You bet.
Operator: Our next question comes from the line of Kash Rangan with Merrill Lynch.
Kash Rangan – BofA Merrill Lynch: Hi. Thank you, guys, for taking the question. One question from a mechanical engineer to another mechanical engineer or several, with respect to the – if you look at this quarter, license plus the other – and subscription, and if I give you credit for $30 million of this deferred license revenue, on an apples-to-apples basis, it looks like the overall business was somewhat down, about 2%, 3%. But if I go back and take away the $24 million that you had benefited due to promotion from last year, you still get a single-digit type of growth rate. So the question for you is there something else that is not reported in the numbers, maybe a off-balance sheet backlog on other subscriptions? Because if you were to look at the P&L statement, even giving credit for the two one-time items, it looks like business was roughly flattish. And I have a follow-up question. Thank you.
Mark Hawkins: Yes, sure. No, I think there's two dynamics, Kash, that you want to look at, and you were touching on two of them by is to make sure we look at the math and sink from that. But, the first dynamic is that clearly we took $30 million to the balance sheet that would have been upfront license revenue. And you know just to be clear and to make a point of it, those enterprise deals, the bookings were closer to $70 million. The upfront license portion of it was closer to $30 million that we pushed to the balance sheet so that normalization alone, obviously, puts us into positive territory in terms of growth at plus 2%. The second point and the second normalization that you touched on that we press released last year in Q4 is we pulled in $24 million from that standpoint, in terms of the dynamics for the simplified upgrade pricing last Q4. And so if you look at that and you do the second normalization, you're looking at something that starts to approach into the 6% growth rate there. So, you know, again, that's two simple normalizations that we've tried to be very discreet on. So I think the thing I would look at it you know slightly different, Kash. Actually, am glad to see the growth reigniting. You can see it on billings too, when you make the same normalization. By the way, for the $24 million last year, that's a revenue normalization. If you do the billings normalization, it's $34 million. And so growth in year-on-year billings is also starting to reignite, which I think is a good dynamic. Just to put a finer point on this, at the very end, as we leave this year, what's interesting, and we look forward to next year, our plan for year one of our four-year plan is slightly better than what we shared with you at IR day back in October. So to Carl's point, the macro is slightly better. We're seeing the growth start to reignite, and so I want to make sure you can see that perspective. Carl any…
Kash Rangan – BofA Merrill Lynch: Got it. Yes. 
Carl Bass: No.
Kash Rangan – BofA Merrill Lynch: Absolutely and the final thing with respect to the billings growth rate I think 6% to 8% for this year, and you have got the longer-term CAGR of 12. It implies a pretty significant catch up in the latter years of 16%, 17%. In light of that, how are we to judge your progress against these benchmarks? Should we take your 150,000 subscriptions [INDISCERNIBLE] that you're targeting, multiply it by annual recurring revenue type equivalent. What is the right way to do those calculations to monitor this progress? Thank you.
Mark Hawkins: What I would do is I would certainly look at the classic things like that we provide to you, but including deferred revenue and things of that nature. But certainly, we try to be very prominent on the subscription target for the year is a good way to start looking at it. And the fact that we also were offering billings. So if you think about the 12%, 20%, 50%, we're giving you an annual target for the 12%, and we're giving you an annual target for the 50%. And the 12% is a good – although it will be choppy by quarter, is that billings guidepost that we gave you will be a good indicator to track progress throughout the year, and it will grow in momentum throughout the year and throughout the multiple years.
Carl Bass: As we have talked about on the 20% number, we think a reasonably good proxy for that is what's going on with subscriptions. 
Mark Hawkins: Yes. So… 
Carl Bass: And you know when detailed in October the increase in value per user from subscriptions, so you should be able to see progress on all three of the metrics we laid out for you, in addition to all of the conventional ones.
Mark Hawkins: Exactly.
Operator: Our next question comes from the line of Jay Vleeschhouwer with Griffin Securities.
Jay Vleeschhouwer – Griffin Securities, Inc.: Hey, Carl, I'd like to ask you about how you're thinking about the business this year in terms of new seat volume or upfront business for at least the third quarter of last year, based on the last available filings you had, a cumulative 27% decline of new seat volume in the first three quarters of fiscal '14, as you reported it, which ought to set you up in principal for very ease new seat comps this year, as early as this quarter. So how are you thinking about that growth in that new seat metric as you've traditionally talked about it? Secondly, also as recently as the third quarter, your subscriptions revenue, not counting traditional maintenance, was only about $10 million. If we extract traditional maintenance from the total subs number, that leaves only about $10 million. Would it be fair to say that by the end of this year, given the billings guidance you've given and the backlog you've been adding, that that number should be a multiple by the end of the year, in other words several times $10 million a quarter in new forms of subscription revenue?
Carl Bass: Okay. You take the second part; I'll take the first part.
Mark Hawkins: Absolutely. I would say a couple things here. One is that when you start to think about the non-subscription maintenance, part of subscription, you will see that grow significantly. Jay, I think you're all over it. And part of that for – is the fact that this is going into deferred revenue, and we have billings that are happening that are going to start coming off the deferred revenue into the P&L from a revenue standpoint over time. That number – when Carl says we've had the all-time record quota for BIM 360, and we're getting $1-million deals and that type of thing, and we had PLM with a $700,000 deals and things are starting to grow and multiply, this thing is going to build. And you're going to see both the billings growing, and then over time you're going to see the revenue grow. So yes, you should expect that to grow.
Carl Bass:
Jay Vleeschhouwer – Griffin Securities, Inc.: Very good. Thanks a lot.
Carl Bass: You're welcome, Jay.
Operator: Our next question comes from the line of Brendan Barnicle with Pacific Crest.
Unidentified Speaker: Hello, guys, this Owen filling in for Brendan. Wondering if you guys are seeing any new use cases from the shift to cloud. And second, I was wondering how pricing is holding up. Thank you.
Carl Bass: Yes, so I think there are places like some of the things we've called out already. Many of the 360 products are the places where we're seeing new and somewhat unimagined uses. PLM 360 particularly, it's a lot of customers who haven't been Autodesk customers before. It's reaching to a part of the organization that was not one that we traditionally sold to, and they're trying to solve different problems. PLM 360 for the most part is not about your classic engineering problems of how is it – what does this product do and how does it perform. It's really around the processes of managing how you get that product to market and service it and maintain it. So that's one place. Same thing with like BIM 360, with BIM 360, what we're seeing is people who their organization and certainly their [INDISCERNIBLE] may have been Autodesk, users but they probably were not. It's people – like I said, it's construction people out in the field; it's subcontractors; it's specialty contractors back in the shop who haven't usually been customers. They may have been recipients of paper blueprints in the past, and now they're interacting online, and so you're bringing all those people that have always been part of the commercial ecosystem, but you're now bringing into the digital ecosystem. And then when some of the products like Fusion 360, we're reaching a new class of designers. It's people who are working on different kinds of products than you might see a more traditional mechanical product like Inventor, and so we're really happy. We think the combination of cloud and mobile devices and this built-in collaboration is really set up to reach new customers. We think it will help many of the traditional ones, but we've been pleased with how many new people we're reaching.
Unidentified Speaker: Thank you. That's helpful. And then second thing I had was on was pricing; how is that holding up?
Carl Bass: Pricing, stable.
Mark Hawkins: Yes.
Carl Bass: It's stable and the relative pricing between point products and suites is maintaining the same differential.
Unidentified Speaker: Great. Thank you guys.
Mark Hawkins: You bet.
Operator: Our next question comes from the line of Keith Weiss with Morgan Stanley.
Keith Weiss – Morgan Stanley: Excellent, thank you guys and thank you for taking the question. I was wondering if you could give us some of the initial feedback that you've gotten from your customers and from the channel to the elimination of upgrade pricing at the end of this fiscal year. What responses have you gotten back, because [INDISCERNIBLE] how we started socializing that a little more with the customer base.
Carl Bass: Yes, so as you would imagine, our channel is enthusiastic about it. They think it's a big spur to their business in the coming year. And I think it not only drives business, but it reignites conversations that channel partners already should have been having with customers. In some ways, it's been very quiet on the customer front. One part of it is many of these customers are not the ones that are closest to us. They're not on subscription already; they're working on versions back; and so the relationship is a little bit more distant. So I haven't really heard any negative feedback from the customers. I'm sure as we get closer to a year from now, we will hear some moaning and groaning. But for the most part, very well received by the channel partners, enthusiastically received, and most customers understand the change.
Keith Weiss – Morgan Stanley: Got it, and if I could sneak in a follow-up as well. When we've seen channel heavy businesses with more of this attrition model, and this isn't Autodesk comment, it's across the board. Channel partners who are used to selling a box or selling a box of software, typically tend to be a little more reluctant to move to more of a subscription model, selling a subscription. How well has your channel or how receptive has your channel been to the subscription products? How difficult has it been to get them on board with some of these new offerings?
Carl Bass: So let's take a little trip back through the history machine. The first one was our maintenance subscriptions; like I talked about in those remarks 10 years ago when we first started this, our channel was incredibly reluctant to go into that. I think it's some of the reasons you pointed out. There was a fear – at that point, we didn't have a direct relationship. We didn't have contact info. There was a worry about us circumventing them and going direct to customers. Now you look and it's nearly half of our revenue; it is the foundation for most of our partners' business, and so they've come to appreciate it. Having said that, though, every time we introduce something new, there's an amount of reluctance out there. Where I see it most strongly is not on things like the cloud-based services, the place – and this is very legitimately an issue for our existing resellers, is they see it on things like the desktop subscriptions. Because if a user chooses to go from the old model to the new model, it affects their cash flow in the short run. And as we've always said, many of our channel partners are much more sensitive to short-term cash flow than any other financial metric. So that's an understandable one we're working through. When I read a bunch of reports and people said our channel partners weren't doing much with the desktop subscriptions, that doesn't surprise me. That's not the place where the first take up is going to come, and that's not where we've seen it. But as long as the transition goes smoothly and gradually, our partners can work into this new model and still have very healthy, profitable businesses with good cash flow.
Mark Hawkins: Absolutely.
Keith Weiss – Morgan Stanley: Excellent, guys. Thank you for the color there.
Carl Bass:
Operator: Our next question comes from the line of Phil Winslow with Credit Suisse.
Phil Winslow – Credit Suisse: Thank you, guys. Most of my questions have been answered, but have a question on operating margins. Obviously you gave the guidance for this next quarter and the full year. Wondering if you could give us a sense of the progression of margin over the course of the year. And then as far as investments in this year, sales and marketing versus R&D, how do you see those being allocated and what are the key initiatives you're focused on?
Mark Hawkins: Well, a couple of quick things, Phil, one is that we don't classically break that out and guide that throughout the year in terms of the spend breakup when we get targets and such, number one. I call out though that when you look at Q1, one of the things that we touched on is as we bring Delcam, on board there's even deal costs that are involved. There is the stealth period; there's the deferred revenue write down, separate from normal seasonal expenses and separate from what Carl talked about, which is investing to really solidify our leadership in the cloud and doing the back-office work we need to do to support a scalable business model transformation. So I think the one thing that you can see is in Q1, there is more pressure than normal because of the transaction itself with Delcam. But beyond that, we're investing to absolutely secure a win, both in the platform and the business model transformation.
Carl Bass: Yes I would add to that, investments go to market particularly around new products, so bucketed as sales and marketing, but particularly think of being able to reach this new class of customers. We've been investing there. There's a significant investment in cloud infrastructure to build out and get a rationalized platform that we can use globally. And then the last part, I would stress the Delcam part. Delcam was naturally diluted. When you add the sub period plus the deferred revenue write down, it becomes even more so. It's the arithmetic working against us there.
Mark Hawkins: And even the deal costs.
Carl Bass: And the deal coasts. 
Mark Hawkins: Hopefully that helps a little bit Phil.
Phil Winslow – Credit Suisse: I wonder from the acquisition, I wonder if you could give us any color on the incremental costs that you're expecting to bring on from that.
Mark Hawkins: Let me say for the Company, Delcam will be dilutive about $0.10, $0.10 to $0.11 for the year. That gives you a sense of the magnitude. It will be accretive in '16. That being said, we're obviously very excited about the strategic aspects of this, the enhanced footprint in manufacturing, which is obviously very strategic. And Carl, if you want to add anything on that, but that – we're very excited about Delcam.
Carl Bass: Yes, no, I think one of the things that – maybe it's worth taking a short amount of time to discuss. All of the sudden in manufacturing, the manufacturing part of manufacturing is getting interesting again. For a long time many companies focused on product design and innovation on product design, and manufacturing was this Six Sigma exercise that was just about optimization and driving costs out. Our customers are realizing that there's an importance – and new technology and processes that are coming along, goes by different names around the world. In the US, there's a lot of what you might hear and you might have heard the president talk about the other day, advanced manufacturing. It has to do with new ways of manufacturing and getting competitive advantage instead of driving costs out. Delcam is ideally positioned to help with that, and so, we've become interested over the last few years in making sure it's not only the ideation and the design and engineering we help with, but we help through PLM 360 with the management of the process, and with CAM software to actually drive the machine tools on the factory floor. So all of that's important, and I think there's a renewed interest globally in how companies can use their manufacturing techniques and processes to actually have an advantage.
Phil Winslow – Credit Suisse: That was great. Thank you guys.
Carl Bass: You bet.
Operator: Our next question comes from the line of Steve Koenig with Wedbush Securities.
Steve Koenig – Wedbush Securities : Hi, gentlemen. Thank you for taking my question. I'd love to see if we can get a little bit more help on the revenue model for fiscal '15, and in particular a few things that could be very helpful here. One would be any feel for where a subscription will trend, either as a mix of revenue or otherwise by the end of the year, and/or subscriber ASPs. And then two other things related to the model transition. One would be any help on thinking about the contribution from license upgrades this year. Typically the license upgrades when you guys used to report it ran, on the average, $120 million in license upgrades per year. Are we looking at more like $200 million this year or $150 million or the usual $120 million? And then lastly, any color you can give us on the contribution from rental subscriptions or cloud in fiscal '15?
Mark Hawkins: So, a couple things here. Let me jump into this, and maybe Carl can add some more. First of all, I'd say the contributions from the upgrades, we're not providing specificity on that. As Carl said, I think the channel is very enthusiastic about that, as we are. I think you're going to get four bites of the apple. It will be most pronounced at the end of the year. It will build, but each quarter it's going to be an opportunity, and then it's going to build. And clearly, people in the market get the significance of this. So in terms of dollarization, Steve, I can't provide that specificity to you, but in terms of it's going to help us in each of the quarters with special help at the end of the year. And that's going to certainly – what's interesting for us is not only the contribution to billing growth, but where the people go is basically into a choice of subscription. So we think that it's a double win in terms of moving our model forward. In terms of the makeup of the model, the second thing you talked about, I'm actually excited to stand here before you and say that this last year we booked, 45% of our revenue is recurring. It's up from 41% the year prior, and after, as Carl said, a 10-year journey and we're now at the beginning of a four-year journey to take it to a completely different level. And as you know, we want to exit at 70% recurring. You should expect that number to go up, and we're not providing specific guidance on that. But it's early days. It's at the beginning of the beginning. What we did is we stepped out and said, let's give subscriptions, because that's an important number for everybody to track progress. And then billings, if you think of the 12%, 20%, 50%, mantra, billings is the 12%, and we've guided that for the first time in the history of the Company. And the 50% is the subscriptions, and we have guided that for the first time in the history of the Company. And so those two should be good guideposts to give you a sense of where we're going and what we're doing. What we want to do Steve is we're not hesitant to provide more metrics as – when we make sure that they're meaningful, that it's not chatter, and that there's some level of predictiveness in it. So we're studying a number of different things, but we think these will certainly anchor. And by the way, we've tracked very carefully what other businesses have done. Obviously, ours is a little different than other, very well and very well respected companies, in terms of where they're at. But anyhow, that's what we're doing from a mix standpoint. Obviously subscriptions are going to grow, as we've called out. And then in terms – the cloud, early days; desktop subscriptions, early days. As soon as they're – we think that it's going to be useful and meaningful, we're going to break them out, and you would expect that of us. So Carl, any other commentary on that?
Carl Bass: No, I think you got it right.
Steve Koenig – Wedbush Securities : Cool. Can I add one follow-up, which is…
Mark Hawkins: Please.
Steve Koenig – Wedbush Securities : On the macro.
Mark Hawkins: Please do. Yes.
Steve Koenig – Wedbush Securities : Okay. Great. Thank you. Yes, I'm wondering on the macro, can you guys give any color on the complexion in Europe, middle Europe versus say, France or UK? And also I'm curious on Asia, Japan clearly is helping there. China's been a laggard on the PMIs, and how is that impacting Asia? So any forward-looking thoughts here especially would be helpful.
Carl Bass: Yes, so what I would say is Europe, in general, has been strong, and we see momentum building in Europe. Central Europe is strong; Northern Europe is strong; the U: doing well. I still see weakness particularly in Spain, France, Italy, Greece. Like I said, they haven't returned to levels before. I don't see the momentum there, but I think business is – that really is a new level for business there. I don't see – I don't see that changing. When you get to Asia-Pacific, we've seen strength. Japan has been particularly strong; Korea continues to do well. The data out of China that we see doesn't always reflect what we see from our business. I think there are a number of reasons why; you could speculate on why we don't see a perfect correlation. What we're seeing is a strong China, not overly – I don't think it's overheated. I don't think it's at that torrid pace as before, but it doesn't seem to be weakening either. A place like Russia, Russia seems to be doing well. Yes, the other place where we saw a fair amount of business during the last two quarters, but particularly in Q4, was in the Middle East. When we certainly saw some real strength there, particularly in terms of some of the AEC projects that are being built and some really large infrastructure projects that are being started. So there seems to be a level of investment, and while many of these projects have been on the books for a while, they seem to be moving forward now. And that generally comes from their government's sense of renewed confidence.
Mark Hawkins: Yes, I totally agree, Carl. I'd even add India, strangely enough, India is just starting. It's small, but even that is starting to stabilize and starting to grow again, small-time.
Carl Bass: Yes.
Steve Koenig – Wedbush Securities : Great. Optimistic news. Thank you, guys.
Carl Bass: Thank you.
Operator: Our next question comes from the line of Ross MacMillan with Jefferies.
Ross MacMillan – Jefferies & Company: Thanks a lot. You may have already answered this, Carl, but I wanted just to go back on the subscriber number. Is that a blend of maintenance payers, 360 customers, rental customers, is it a blend of all of those? That's the first question. And then second, when you think about the 360 offerings, could you force rank which are doing the best and which are maybe not doing so well. I'd be curious to get a sense for the mix. 
Carl Bass: Yes, so the answer to your first question is yes. That is a blend, and during the year, we'll start figuring out which things to break out for you as it makes sense. But the number we gave you was as a whole. The reason why we'll want to break it out, one is to provide more clarity for you, but also as we start talking about whether it's ASPs or ARPU or whatever kind of average, as you get these different kinds of subscriptions, there's going to be very different math associated with each of them. And it will be important ti be able to give you more than one average number for it. Your second question was about.
Mark Hawkins: 360 ranking.
Carl Bass: 360s, which is my favorite child. This is Sophie's choice. I think if you look at the numbers, BIM 360, has to be the one that's leading the pack; it had by far the strongest quarter. Going in to the fourth quarter it wasn't as obvious, we just had a break-away quarter. We know that we will even come down in Q1 because of the seasonality of the business, but BIM 360 is actually doing well. I've been very pleased with our progress on all the 360 products. One of the things that you didn’t want that way is when you introduce new products is, and particularly doing it through new channels with new business models, you have to find the right mix in terms of what's the right way to go to market, what's the right pricing, what's the right packaging? And I think we've been relatively successful in a short time in figuring that out. And it hasn't been without stumbles. As a matter of fact, the one that I just highlighted, BIM 360 as our best, in Q2 I would have ranked it down near the bottom. We were having a number of troubles post-acquisition integrating it and moving the business model forward. We had tripped upon ourselves, and it was through hard work of a lot of people, we got it right back on track and it rebounded from early in the year to being really spectacular at the end of the year. So I don't think any of these new businesses are without their challenges, but I'm really pleased with how we're doing on the 360 businesses.
Ross MacMillan – Jefferies & Company: That's really helpful, and then maybe just one quick one from Mark. On the net subscriptions billings calculation, should we just basically look at the proxy being revenue plus change in deferred plus change in product backlog? Is that effectively going to get us to the same number as you're looking at?
Mark Hawkins: I think you're on the right track, yes. Yes, that's the right track.
Carl Bass: The rest is left to a reader.
Mark Hawkins: You got it there.
Ross MacMillan – Jefferies & Company: Appreciate it. Thank you so much. Congratulations.
Operator: Our next question comes from the line of Matt Williams with Evercore.
Matt Williams – Evercore Partners: Hi guys, thank you for taking the question. Most of mine have been answered at this point, but I was wondering on the rentals, I think you called out that some of the adoption there had been in the M&E business, which would seem to make some sense. But any more color you could provide on what areas or what segments are starting to really go down the path there, and which ones are looking at that option?
Mark Hawkins: Sure. Let me start, and maybe Carl can add if he likes. You called out there's areas where people are more project based and very small business, small, medium business project-based people that are trying to enter but may not have the upfront cash flow. M&E is an ideal target, as we've talked about, and it absolutely is getting some nice traction actually and we're getting a lot of good feedback there. That would be one data point. That's not – we're getting it in other projects as well; that's one I would call out explicitly. The second thing is that one of the fact patterns is that they're going for the annual, and that's the primary vehicle of choice. And so that also is happening, and I would just say maybe the last bit of color is that when we talk about how we're doing up to the call in this quarter, because we don't give beyond that period, that ramp continues to look really nice. And so those are a couple bits of data, Matt, that I'd like to share.
Carl Bass: The only thing I'd add is if you want to look at the general trends, I would say among size of business you'll go from small to big; it's getting much more common amongst small business or very small business, much less common with big companies. They have other flexible licensing mechanisms to accomplish the peak demand (inaudible) that this accomplishes. And I think if you look by industry, I think M&E is first; I think AEC is second; and I think manufacturing third. And that reflects the project-based nature of the work within each of those respective industries.
Matt Williams – Evercore Partners: Great. That's helpful. I'll leave it there. Thank you guys.
Mark Hawkins: Thank you Matt.
Operator: And our last question comes from the line of Jay Vleeschhouwer with Griffin Securities.
Jay Vleeschhouwer – Griffin Securities, Inc.: Thank you, a couple of follow ups. First, Carl in honor of the 20th anniversary of LT this year, do you think you'll be offering rentals of LT for the first time? Those weren't talked about in the initial rentals batch back in September. Secondly, if in the long run you go to mostly an agency model in lieu of the current VAR model, what would be the margin implications for you and for your channel, in light of your earlier comments about their concerns over cash flow and margin?
Carl Bass: First thing is Jay, around LT, yes, I think you can expect to see us doing desktop subscriptions for LT. We already ran a pilot project in France with really good results from it, some of the same things that Mark highlighted about the rest of the program. We actually saw it earlier on with LT, and we want to continue to expand that, and that's going well. Your other question is a little hypothetical at this point. We'll move through this. There may be some changes to both margin structure, and there may be some changes to the contractual relationship, particularly the place I would look for it more is on the cloud-based services. I think it's less likely to see dramatic changes on the existing products, but certainly we have been looking and studying and working closely with our partners around the cloud-based services in the best way for them to bring into market. (Inaudible) what we for now, have primarily been doing by ourselves through a direct sales force.
Jay Vleeschhouwer – Griffin Securities, Inc.: Okay. Thank you very much.
Carl Bass: You're welcome Jay.
Mark Hawkins: Yes.
Carl Bass: Operator?
Operator: There seem to be no further questions.
David Gennarelli: Great. Thank you, operator. That concludes our call this afternoon. We will be at the Morgan Stanley conference this coming Monday. If you'd like to reach me at investor relations, you can reach me at 415-507-6033. Thank you. 